Operator: Ladies and gentlemen, welcome to Bouygues Nine Months 2020 Results Conference Call. I'll now hand you over to Karine Gruson, Head of Bouygues Investor Relations. Please go ahead.
Karine Gruson: Thank you. Good morning ladies and gentlemen. I would like to remind everyone that you can find on the company website at www.bouygues.com the earnings press release, the presentation we will be commenting on during this conference call, an Excel file with historical key figures for the group and each business, and the company financial statements. Statements made on this call are forward-looking statements. Such statements reflect objectives that are based on management's current expectations or estimates and are subject to a number of factors and uncertainties that could cause actual figures to differ materially from those described in the forward-looking statements. I will now turn the call over to Pascal Grange, Chief Financial Officer of Bouygues. 
Pascal Grange: Thank you, Karine. I would like to welcome everyone to our conference call to discuss Bouygues' nine months 2020 results. With me in the room are Richard Viel CEO of Bouygues Telecom; and Christian Lecoq, CFO of Bouygues Telecom. Following our comments, we will be answering your questions. Let's begin with slide four. The most striking point about the nine months 2020 results in -- is the group's excellent performance in the third quarter compared to last year's third quarter which was already at a high level of activity and profitability. Q3 2020 results marked a major improvement compared to the first half of the year which was strongly impacted by the health crisis. Current operating profit reached €813 million in Q3 2020, up 22% year-on-year while current operating margin increased to 8%, up 1.5 points. Furthermore, the group financial structure remains robust with a high level of liquidity. Available cash at end September 2020 was €10.1 billion. Given this strong performance in Q3, we have revised our H2 2020 outlook upwards. Looking at the construction businesses on slide five, the backlog remained at a high level of €33.5 billion at end September 2020 offering good visibility. Activity returned to a normal level in most countries. Thanks to the strong performance of the three business segments in Q3, current operating profit returned to positive level for the nine months. At TF1, performance of the broadcasting segment was very good in Q3 2020. And finally, commercial momentum at Bouygues Telecom was good in both mobile and fixed and topline growth was solid in the first nine months of 2020. Sales from services were up 7% better than expected and the EBITDA after lease margin remained stable despite the drop in revenue due to the health crisis. Bouygues Telecom therefore confirms it will generate around €250 million in free cash flow for 2020. Let us now turn to group key figures on slide six. Let me start by saying that given the resumption of activity, it is no longer possible to isolate the change in performance that would be attributable to COVID-19. As such we will no longer quantify that impact. Nine months 2020 results reflected a major improvement in earnings in the third quarter following the significant impact of the COVID-19 crisis in the first half. Like-for-like and at constant exchange rates, sales improved strongly in the third quarter growing by 1% year-on-year after declining 8% in the first quarter and 21% in the second quarter. Sales benefited from catch-up of activity in the construction businesses as well as advertiser spending at TF1 and from steady growth in sales from services at Bouygues Telecom. Profitability improved significantly compared to the first half of the year with current operating profit reaching €681 million in the nine months compared to a loss of €132 million in the first half of 2020. Current operating margin rose to 2.7% in the nine months versus minus 0.9% in the first half. Net profit attributable to the group also returned to a positive level. It included a contribution from Alstom of €51 million in the nine months 2020 versus a €238 million in the same period last year. As a reminder, the nine months 2018 contribution included a net capital gain of €172 million of the sale of 13% of the share capital of Alstom. Please, note that the nine months 2020 contribution did not include two elements that will be accounted for in the four quarters. The €87 million capital gain linked to the disposal of €11 million of Alstom's share and the €30 million gain associated with Alstom's capital increase as announced two days ago. We will now move to slide 7 to focus on the strong Q3 performance. You can see that all business segments contributed to the sharp rise in current operating profit and margin compared to the third quarter of last year. This significant improvement was better than expected. First, Q3 2020 sales were stable year-on-year after our fall in Q1 and Q2 were driven by strong activity in all businesses as discussed previously. The performance is particularly remarkable in France as sale were up 5% compared to the substantial level of Q3 2019. Second, all business segments implemented cost-saving measures, moreover, the construction activities also benefited from compensations linked to work site shutdown in Q2. Those factors contributed to a major improvement in current operating profit in all business segments and current operating margin reached the very significant level of 8%. Let us now turn to slide 8, that shows the group's strong financial position. The chart highlights available cash at the high level of €10.1 billion at end September 2020 with €2.4 billion in cash and €7.7 billion of undrawn medium and long-term facilities of which €7.1 billion were without covenants. Please note that in July 2020, the group reimbursed a €1 billion bond at its maturity. As you can see the debt maturity schedule is well balanced with no debt fall. Moving to slide 9, you can see that net debt was nearly €3.7 billion at the end of September 2020, a decrease of €982 million compared to last year end September, net gearing improved by 9 points over the same period. This robust financial position remains key, especially during the crisis. Please note that the net debt at end September does not include €450 million in proceeds from the sale of €11 million of Alstom shares, the acquisition of EIT by Bouygues Telecom expected by early 2021 and the first installment of the 5G frequencies for €90 million. Let's now turn to Slide 10 to see the net debt evolution between end September 2019 and end September 2020. On Slide 10, you can observe that the increase in net debt since the end of last year is mostly explained by the following four items: first an outflow of €55 million in acquisitions and disposals resulting mainly from the acquisition of Granite Contracting by Colas in the U.S.. Second, an inflow of €30 million mainly linked to the exercise of stock options and the remainder of the Bouygues Construction capital increase reserved for employees. Third, the outflow related to the payment of dividend in September 2020 for €687 million. And finally, an outflow of €727 million from operation decreasing sharply year-on-year that I will explain in the next slide. Turning to the breakdown of operations for the nine months 2020 on Slide 11, you can observe that. First, net cash flow including lease expenses was down €248 million year-on-year reflecting the impact of the health crisis on the group's first half results. Second, net CapEx was down €142 million year-on-year due to early adjustments in investments in the construction activities due to the COVID-19 crisis. And then higher disposals in the first nine months of the year at Bouygues Telecom related to the sale of FTTH premises to SDAIF, the Asterix project. And third, you can notice on the chart that working capital requirement improved strongly compared to the same period of last year. Most specifically the change in working capital requirements linked to the activity was lower by almost €1 billion from the first nine months of 2019 much better than what we were expecting in this environment. This performance was driven by the efforts made by all business segments and most notably Bouygues Construction and Colas. In addition the change in working capital requirements related to fixed assets was affected as we already mentioned in the first half by the sale by -- in June by Bouygues Telecom of FTTH premises to SDAIF for €222 million which was monetized into cash in July. I will now turn to the review of operations, starting with the construction businesses. Let's begin with the backlog on Slide 14. A €33.5 billion of backlog in the construction businesses remained at a very high level at end September 2020. As you can see on the chart, it is very close from the record level reached in September 2018. Commercial momentum at Bouygues Construction and to a lesser extent at Colas continued to be good. The overall backlog at end September was up 3% compared to the same period of last year. Let us now turn at the backlog on Slide 15. The French backlog in the construction businesses was down slightly at end September 2020 year-on-year due to the health crisis and the impact of the municipal elections. Overall Bouygues Construction's backlog was stable. It was down 1% at Colas with rail experiencing a 15% growth, while roads in Mainland France was down 8%. Indeed the environment to roll out bids and contracts remained difficult with local authorities even though the French government implemented supporting measures. This situation can be expected to continue in Q4 and maybe into the beginning of 2021. At Bouygues Immobilier, the backlog was down 3%. Residential reservations decreased by 16% year-on-year as delays in obtaining building permits linked to the municipal elections resulted in a lower supply. This impact was mitigated by some block sales to CDC Habitat. To date, the resumption of the issuance of building permits in the residential property market is very slow, while housing demand remained solid. As you can see on slide 16, international markets remain dynamic and the good international backlog was up 6% year-on-year at end September. This good commercial performance was driven by civil works, energy and services and rail. Thanks to this performance 62% of the backlog at Bouygues Construction and Colas was related to international markets, compared to 61% at end September of 2019. Let us now look at the construction activities key figures on slide 17. As I've already mentioned, the construction businesses returned to a positive current operating profit in the nine months after the strong negative impact of the COVID-19 pandemic on first half results. Activity solidly rebounded in the third quarter compared to H1 2020, thanks to a catch-up of activity in France during the summer and a return to normal business levels in most countries. This achievement was made possible thanks to the strong commitment of our employees. In France, a group-wide collective agreement was concluded allowing employees to take a portion of their paid leave during the first lockdown. We also adapted our working hours and working days to facilitate catching up our activity levels during the summer months. As you can see, profitability resumed thanks to the strength of our three business segments. Current operating profit was €133 million in the first nine months versus a loss of €437 million in H1 2020, and current operating margin was 0.7% versus negative 4% in H1 2020. This improvement was led by stronger activity, which allowed a better dilution of our fixed costs and benefited from cost-saving measures, as well as compensations linked to work site shutdown in Q2. Now, let's talk briefly about TF1 as its results were released at the end of October. First, I would like to highlight on slide 19, that TF1's audience share among key competitor was maintained at a high level during the first nine months. As the lockdown and the TF – TV usage in the third quarter of 2020 was up 16 minutes year-on-year. Moreover, after being severely hit by the COVID-19 crisis in first half 2020 TF1's performance in the third quarter was very good in the broadcasting segment. Third quarter advertising revenues were up 7.5% year-on-year, thanks to both longer viewing time on the return of advertising spending in several sectors such as food, retail, personal care, e-commerce and automotive. Current operating profit showed significant improvement reaching €58 million in Q3 compared to €21 million in Q3 last year. This improvement was linked to the adjustment of programming schedules on the optimization of programming costs which were €138 million in nine months 2020 including €31 million in the third quarter. Given the low visibility and uncertainty of the COVID-19 pandemic evolution in France, TF1 did not set new objectives for 2020 -- or 2021. Now, let me turn the call over to Christian Lecoq and Richard Viel. 
Christian Lecoq: Thank you, Pascal. Starting with slide 21, you can see that we benefited from a good commercial performance during the third quarter of 2020. In mobile, excluding MtoM, we won 181,000 new plan customers in the third quarter totaling 455,000 since the beginning of the year. In FTTH, net adds continues to grow with 169,000 new customers joining us during the third quarter. With a total of 1.4 million subscribers, FTTH customers represented 34% of the fixed customer base at end September 2020, compared to 22% one year ago. Overall, and excluding MtoM, at end September 2020, Bouygues Telecom serviced 12 million mobile plan customers and 4.1 million fixed customers. Let's have a brief look at our FTTH rollout on slide 22. As you can see, Bouygues Telecom has been accelerating its FTTH rollout since the end of 2019 growing from 11.8 million marketed premises to 15.8 million at the end of September 2020. The acceleration is particularly noticeable in Very Dense and Medium Dense Area thanks to our partnership with CityFast and various partners. We have also -- we also have decided to accelerate in the public initiative network area and we are now in a position to revise upward our objective of marketed premises from 22 million to 27 million by the end of 2022. As you can see on slide 23, mobile ABPU and fixed ABPU were up year-on-year in the third quarter of 2020. Mobile ABPU increased by €0.4 to €20.3 restated for roaming impact. And fixed ABPU increased by €1.50 to €28.1 reflecting both the success of our pricing strategy and lower competitive intensity. As a result, sales from services were up 5% year-on-year in the third quarter of 2020. This performance was better than expected. Mobile revenue was up 3% year-on-year driven by growth in the customer base and ABPU and despite a loss of €33 million of roaming revenue linked to the drop in intercontinental travels. Fixed sales from services were up 10%. As shown on slide 24, Bouygues Telecom delivered solid top line growth in the first nine months 2020. Sales were up, 6% year-on-year with a 7% increase in sales from services, despite a €63 million decline in roaming revenues over the period. EBITDA after leases for the first nine months was up 7% year-on-year at €1,123 million. Let me remind you that this figure includes one-off brand and advertising expenses of €20 million recorded in the first quarter and the COVID-19 impact estimated at €20 million for the first half of the year. The EBITDA after leases margin was stable at 30.9%, despite the negative roaming impact, which is a very good performance. We said it for this roaming impact this margin reached 31.9%. As shown on the chart, over the last five years, the margin has increased by 11 points, a truly remarkable achievement. Operating profit of €460 million was slightly down compared to the same period last year due to a lower volume of site disposals versus last year. CapEx was €837 million in the first nine months of 2020, an increase of €103 million year-on-year in line with our strategy to strengthen the quality of our networks. Over the same period disposals amounted to €222 million with a very large part related to the sale of FTTH premises to SDAIF in the first half of 2020. As you may have noticed, 3.5 gigahertz frequency are available since yesterday. I will now turn the call to Richard Viel, who is going to explain you our 5G strategy starting with Slide 26.
Richard Viel: Thank you, Christian. Since its inception, Bouygues Telecom has always been pragmatic regarding the implementation of new technologies and the rollout of its networks. In keeping with this approach, Bouygues Telecom will deploy its 5G network progressively, in line with customer benefits that will arrive in two stages. As you know, the quality of our mobile network is copular of our growth strategy and a major component of our success. Our goal is to maintain this high quality to remain one of the best mobile network in France. Therefore, our priority is to deploy the reliable 5G network while maintaining the quality of our 4G network. First, 4G will remain the main technology used by customers for many years to come. This means that we will continue to strengthen the coverage of the capacity of our 4G network. And second, the quality of the 5G network will rely on the quality of the 4G network. I will explain why in the following Slide 27. The first reason is technical. Until 2023, the 5G will use a 4G core network and will require the 4G anchor frequency band to operate. The second reason is commercial. The rollout of 5G-compatible terminals will take time. As you may recall, it took a while for the 4G technology to be adopted by customers, even though it was offering a new experience and immediate benefits. It is likely that the acceptance of our new technology could also take time. Our willingness is to rollout 5G under the best condition, maintaining constructive channels with stakeholders. Third, network densification is necessary in 5G and in 4G, both in capacity and coverage, particularly in Very Dense Area. This network densification is even more important for high-frequency bands. Therefore, 5G on the 3.5 gigahertz frequency will require more radio site to ensure deeper indoor coverage. Consequently, our target is to have more than 28,000 sites by 2023. To conclude, the quality of our 5G network will rely upon the quality of the 4G network at least for the next three years. Let's now see on Slide 28, how we will roll out the 5G network. To roll out, we will have two things in parallel. First, we will use the 3.5 gigahertz band to improve capacity. And second, we will gradually migrate our existing frequency band using in 4G to provide 5G coverage. As we recently announced, we acquired a 70-megahertz block of 3.5 gigahertz spectrum at a reasonable price, allowing us to double our existing available range. Therefore, we will now benefit from about one quarter of about the French spectrum. We will use the 3.5 gigahertz band to improve capacity notably in the very dense urban area which will require, installing new antennas dedicated to 5G. At the same time, as shown on slide 29 we will migrate, our existing 4G frequency band to 5G to provide 5G coverage. The high-frequency band ranging from 1,800 and 2,600 we will gradually transfer to 5G -- will be gradually transferred to 5G starting with 2,100 band. We consider that a 2,100 band is the best combination between performance and coverage, to rapidly reach 15 megahertz, in 5G without deteriorating the 4G network quality. Moreover, the 2,100 is a frequency band most referenced in the 5G handsets. Our 700 and 800 bands will remain to 4G for several years, to maintain a solid 4G quality. As mentioned previously, 5G benefits for customer will arrive in two stages. Let me explain that on slide 30. The first stage should 2,023 5G will help maintain good quality service in very dense area, as a rise in data consumption will require increased network capacity. This is what is called the non-standalone 5G, where 5G use for 4G core network to operate. A single stage, which we call standalone 5G, will be starting in 2023. New services for individuals and especially for companies, thanks to its new features such as, low latency, higher speed, and ability to connect many objects, this 5G will be used to core 5G network. Of course, we do not yet know all the new usage and opportunities that will be provided by the 5G technology. Turn to slide 31. I'm pleased to announce that the 4G or 5G commercial launch will be at the beginning of September -- beginning of December, okay? And on that day, we will introduce a dedicated portfolio of offers, with a wide range of 5G handsets. And, enhanced content based on our strong partnerships. Our objective is to reach national coverage within one year. Thank you. And Pascal, I will now return the call to you.
Pascal Grange: Thank you, Christian and Richard. Now I would like to briefly comment on the financial statements on slide 13. We have already discussed nine months 2020 revenues and current operating profit at the beginning of this call. Other operating income and expenses were negative €45 million in the first nine months. It notably included non-current charges of €61 million at Colas, due to the reorganization of the road activities in France and the ongoing dismantling of the Dunkirk site. The decrease of €95 million compared to the first nine months of 2019 is explained, by the lower volume of site disposals at Bouygues Telecom this year. You can also note that cost of net debt decreased by €30 million year-on-year, due to lower interest expense on our bonds, as we reimbursed two bonds in October 2019 on July 2020 and issued a new one at a lower rate in April 2020. Regarding the income tax line, the effective tax rate was 46% in nine months 2020, compared to 33% last year. As we already explained in H1, the difference in the tax rate is related to some losses abroad that did not result in the accounting of active deferred taxes and some losses in France recognized at the tax rate lower than the current one. The share of net profit of joint ventures and associates was €109 million in nine months 2020. It included the contribution from Alstom of €51 million, which was much lower than the previous year when we sold 13% of our Alstom stake and recorded a net capital gain of €172 million in September 2019. We will now turn our attention to the group outlook on slide 35. First strong Q3 results confirmed the group's expected return to significant profitability in H2. Given that performance we upgrade our outlook for H2 2020 and now expect the group current operating margin to be slightly higher than that of H2 2019. Bouygues Telecom raises its sales from services guidance and confirms its free cash flow objective for 2020, while maintaining a high level of investments to strengthen its network. First, growth in sales from services is now estimated between 5% and 6% versus around 4% previously despite the sharp decline in roaming sales due to COVID-19. Second, we forecast gross CapEx of €1.250 billion, which will include expenditures necessary for the integration of EIT that will include the acquisition of 5G frequencies. And last, we confirm the free cash flow objective of around €250 million. Please note that this outlook is based on information known to-date and excludes any new unfavorable change due to COVID-19. In this unprecedented context, Bouygues remains convinced that the need to implement a new phase of its climate strategy, as mentioned on slide 36. The group confirms its 2020 target to reduce greenhouse gas emissions by 2030 compatible with the Paris Agreement on the establishment in 2020 of actions plans for its five business segments. I am pleased to announce that we will hold our first Climate Markets Day on December 16 to discuss with you our goals. You will very soon receive an invitation for this event. This concludes my presentation. Thank you for your attention. Operator please open the floor for questions. 
Operator: Of course. Thank you. [Operator Instructions] The first question comes from the line of Nicolas Cote-Colisson from HSBC. Please go ahead.
Nicolas Cote-Colisson: Thank you. Hi, everyone. First question is on telecoms. Yesterday the Arcep asked SFR to cancel some of its wholesale tariff increases after you've complained. Can you tell us a bit more about this and how the new tariffs compared now with Orange as the line rental seems to be cheaper at SFR now? And also, if you have any precisions regarding the way you or actually Asterix arbitrate between co-investment and rental would be great to have too. And my second question would be around construction. What was the trend around energy and services in the context of lockdown? And whether the margin is -- or can be in the recovery phase? I also wonder, if you see inorganic growth as a necessary step to establish long-term profitability, as some assets could be up for sale, so I'm just thinking about energy in particular. Thank you.
Christian Lecoq : Hi, Nicolas. This is Christian. I will answer to your question about telecom. So SFR tariffs in the Medium Dense Area were very high at I think more than €16 per subscribers for winter. Asterix asked SFR to be at the same level or at a lower level than Orange. And the level of Orange is I think €13.2 versus other tenants. So we will see now, what SFR will do in terms of tariff, if it will be €13.2 or less than that. About Asterix, Asterix is a scheme we put in place with a Vauban Infrastructure as it concerns only the Orange area in the Medium Dense Area. And so SFR is not concerned by Asterix for now. So no change for Asterix. 
Richard Viel: As energy and services are concerned, yes, we confirm that we are -- the trend is improvement of margins in this energies and services segment. Obviously, in the first half of the year have been affected by the crisis and the lockdown, but during the third quarter, we are on line with what we were expecting previously. So yes, we are in the trend of improving our margins in term of energies and services.  And secondly obviously, we will consider any opportunity to grow in that segment. We told you that in terms of inorganic growth energies and services was one of the sector for which we're considering such an inorganic growth. You know that some assets are for sale at the moment. So we consider that situation. Please note that when [Indiscernible] speak about this subject, he's considering more probably a private equity way or a spin-off way. 
Nicolas Cote-Colisson: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Frederic Boulan from Bank of America. Please go ahead.
Frederic Boulan: Hi. Good morning, everyone. So two questions on my side. The first one is on your outlook. I'm trying to understand a bit what's going on. So for instance, in Telcos you dropped from 5% to 4% and then back 5% to 6%. So what's going on there? And then secondly, at the Group level your outlook for the year seems -- or at least for Q4 seems fairly prudent considered what we've seen in Q3. So again any special factors we should have in mind? And if you could give us an update on the commentary you provided with Q2 results around the shape of recovery of margins in the three construction divisions that would be very helpful?  And then maybe a second question on the border activity prospects in construction. If you could give us an update on perspective especially your ability to benefit from some of the border stimulus plans which have been announced? Thank you.
Christian Lecoq : So about Telecom service revenue, we made the forecast, we gave you as end of August at the beginning of summer. At this time, it was very difficult to know what will be the impact of the COVID-19 on the roaming of course. But also we do not know if we will be able to continue to apply our more formal strategy and to increase the tariff for new clients and also for our existing clients. And so that's why we were very cautious. The situation is now much better than expected and that's why we decided to revise the guidance. 
Richard Viel: As far as the question you have raised concerning the Group, first of all, our overall guidance about Q4 you have to consider that during Q3, part of the activity is a result of catch-up of activity we have done during the summer for the construction activities. Obviously, we want to have this catch-up again on Q4. This is all -- we are in the situation in which we are working in all our divisions, but the current sanitary situation is not so obvious to manage. And thirdly, at the construction level, we consider that probably we will have some decrease in activity at the Colas level due to the fact that the municipalities in France faces -- face some difficulties to implement the bids and so on. So, globally effectively, we will consider that we are -- we have a fairly good fourth quarter, but at a lower level than what we had at the third. Concerning margins and the evolution of margins of our construction activities. Let's say -- I've just spoke about Energies and Services and now considering with construction, we consider that we will come back to a normal level of activity in the next year -- in the next period. So there's no doubt about that. Concerning Colas, you know that they will have a form of decrease of activity during Q3 and probably beginning next year. So probably, the profitability will be affected by that factor. But on the other side, you know that we are developing some strategies in order to be more industrialized in two aspects. First, quarries; and secondly, the bitumen activities. And third -- and another point is the fact -- which will enhance the profitability is the impact of the organization we are implementing in France. So, we consider that probably in the first half of the year, the Colas margin will be under pressure. And concerning Bouygues Immobilier, the situation is the following. You know that before the crisis, we had a very -- quite low level of units to sell and we are currently facing some difficulties to obtain building permits. So, probably the activity will remain quite low and the profitability quite lower during the whole period end of 2020 and 2021. And we are developing new project and we expect to see the situation being better and better during next year. The third question was related to the stimulus plans. We are quite optimistic of what we can obtain from this stimulus plan, especially at the Colas level. But we think, it will take some time to implement it probably from the political decision, which is already done to the first call for tender. It will last let's say six months or so. So we will see that in the activity second half of next year.
Frederic Boulan: Okay. Thank you, very much.
Richard Viel: And may I precise that, you know that in all this stimulus plans the part which is related to green solutions is very important. And this is the reason why we will be very happy to present to you what is our policy in terms of green solutions, but also what we do at our level for developing our own activity during the Climate Markets Day on the 16th of December.
Frederic Boulan: Thank you.
Operator: Thank you. The next question comes from the line of Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Yes. Good morning. I had a question on the telco business and then a question on construction. So on telcos you have clearly guided for better revenue trends following a strong Q3. Just wondered why that's not translating into better free cash flow for the full year given the CapEx elements. So what exactly are these greater investments in CapEx given a lot of your infrastructure is off balance sheet? I'm presuming that a lot of it is related to 5G, but it would be good to get some color on that. And then just on construction you've clearly pointed to Colas and the public tender slowdown and Immobilier's weak permitting. Just wonder if you could just give a bit more color on your outlook for construction over the next few quarters. Is there anything that stands in the way of continued strong improvement there? I heard you say back-to-normal activity to the previous question. I think you said in the next period, but I wasn't sure what that really means in terms of timing and whether it's just a margin comment. Thank you. 
Pascal Grange: So about Bouygues Telecom cash flow, yes, that's why we decided to maintain the level of free cash flow level at the €250 million. I remind you that it includes €20 million of CapEx related to the integration of EIT. Why we decided to do that? Just because we now expect gross CapEx to be at the level of €1.250 billion. So it's a bit higher than before due to two points. First more CapEx in 5G; and second point more CapEx also in FTTH due to the better growth we have now in FTTH. And so we need to increase the level of CapEx to cope with that. 
Richard Viel: As far as the construction activities are concerned and the level of profitability we can expect, let's say, at a good construction level we consider that probably we will be not far from the 2019 level in 2021 globally. But you will see during the second half of the 2020 year that the profitability is already very good fairly good and improving. And for Colas as I mentioned previously, we will have a form of lack of activity during the first months of 2021. So probably we will stay at a lower level than in 2019 during 2021 coming to a fairly good level in 2022. And for Bouygues Immobilier, as I already mentioned, we will see an improvement in margin during -- in 2021 compared to 2020, but probably at a very low level and in -- but we would expect to recover in 2022. 
Andrew Lee: Yes. Very helpful.
Operator: Thank you. The next question comes from the line of Josep Pujal from Kepler Cheuvreux. Please go ahead. 
Josep Pujal: Yes. Hello, everybody. Two questions on my side please. The first one is on these compensations for unemployment that you got in Q3 -- that you booked in Q3. Could you tell us the total amount? How these compare to the €148 million of EBIT improvement in this period? And if you can split by division or by activity it would be great.  And my second question is on FTTH, I would say competition. You had mentioned early that it was becoming a more competitive market with some players offering -- doing lower offers. How this compares the current situation here today in November compared to what you saw in August-September? Has it changed? Has it improved a little bit, or is it still as competitive? Thank you. 
Richard Viel: Okay. I'll start with the telecommunication. It's Richard. Well, more than competitive situation what we've seen after the second lockdown is an acceleration of the demand. So, the acceleration of the demand is -- we see that now in October, November as we've seen in Q3 and you've seen the number of everyone in Q3. So, what does it mean? Does it mean that in fact the demand when you are in lockdown on adding more fiber, more capacity at all to support I would say tele work and all those kind of things? For sure it's accelerating the demand of FTTH. Secondly, about pricing position, I would say that in general what we see is two things. We see fiber revenue potential which has to be bigger because in fact the pricing of the fiber is higher than the pricing of the DSL. But you see in parallel some promotion activity arriving which contribute to accelerate this level of growth in FTTH. Is it clear?
Josep Pujal: [Technical Difficulty]
Richard Viel: I don't hear you very well. Sorry.
Josep Pujal: Yes. Sorry, sorry. What I -- if I rephrase in my words here and then we can say if I understood it or not is that the promotional activity remains the same as after the lockdown.
Richard Viel: Yes. Yes. Yes. Okay. 
Josep Pujal: Thank you.
Christian Lecoq: As far as compensations are concerned due to the shutdown of some sites, let's say that the situation is quite difficult to analyze for a different reason. If you consider in France, public clients you know that we had some recommendation from the government to have the contractors compensated for these events. At that data amount which has been recovered are quite non-significant and we are not convinced that we will have very material amounts during the next few months. So, nothing material in our accounts. Concerning private clients, we are negotiating globally generally now with these clients so it's very difficult to isolate such compensation. But there is no -- in that part we don't have anything very material in that respect. Concerning the compensation for workers which were locked down during the period, we have different situation in France and abroad. Let's say that in France, the compensation has been directly paid during the Q2. And during the -- for other countries, we had some compensation during the third quarter, but this is not at all in the range of the improvement of the margin during that period. It's a small part of it. The major part of the improvement of the margin is related to catch-up of activities. 
Josep Pujal: Understood. But can you be more precise, are we talking about €20 million €30 million maybe in this Q3?
Christian Lecoq: That's the range. That's the range.
Josep Pujal: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Jakob Bluestone from Credit Suisse. Please go ahead.
Jakob Bluestone: Hi, good morning. Thanks for taking the question. I've got two questions as well. Firstly, can you maybe just comment a little bit around the net working capital? It's improved by about €1 billion year-to-date. Could you maybe sort of -- and I realize it's something you've been working hard to improve. Is that sort of sustainable or is there something funny COVID-related within that? So, maybe if you could share with us what should we expect for the full year? And then secondly thank you for the presentation on 5G, which was very interesting. I had a question on the 28,000 sites you mentioned by 2023. Can you maybe expand a little bit -- give a little bit more detail on those 28,000 sites? First of all, how do you intend to get there? Is that going to be through build to suit? Because I think that's above what you've already announced or should we be expecting higher CapEx? And then also is that for 4G and 5G sites combined, or is it just for 5G stand-alone? Thank you.
Pascal Grange: When we start – concerning your first question, when we started 2020, we had a very important action plan in order to improve our working capital, especially in the construction activities, because we consider that the – there is always room for improvement in that respect having people being invoiced very rapidly, and then when invoice being paid in new times. And it's a fairly important work to do. When we were at the end of March, and when we thought about the impact of the essential crisis, we feel a quite complicated situation in that respect. And this is the reason, why we mentioned at that time that, we were sharing a deterioration of that working capital during the 2020 period, and probably having a recovery during 2021. The very good news of what we see – what we have seen end of June, and now end of September is the fact that, the mobilization of our overall teams have been very efficient in order to maintain our working capital be – and in fact, being very limited, and we have even an improvement in net working capital evolution during the period. The factors, obviously, there is an impact of the COVID crisis, but this is not major. I think so. But the factor which is major the action plan done by Bouygues Construction and Colas in particular to have their invoices paid. What we can say for the future. The – I have to mention that the working capital is – it is really, really due to invoice paid by our clients and not by sums, we have to be – to pay to our suppliers and subcontractors. This is very important. And what we can expect for the end of the year, unfortunately, we don't see that it will be possible to maintain that €1 billion difference at the end of the year. But of course, the mobilization is 100% on this subject, and all our teams are focused in that respect. And we expect to keep, let's say a part of it. I have no figure to mention, but it would be in a range of, I would say, some hundreds of million euros.
Richard Viel: Okay. On your question concerning, the coverage and the number of sites. You need to integrate the fact that, probably in the next five years the traffic will be triple. And for those reason, we need to integrate that. Good news, as we expressed to use the 5G, we doubled our capacity which were consists. So we have this capacity to support the double of the traffic. So that's easy. But it's not enough to make triple. So you need to increase your – your number of – your number of antennas. So we will have a concentration on the sites, where we need more capacity. So in Very Dense Area, it would be around 2,000. Today, we are 21,000. So there is 7,000 new sites to be built. So 2,000 in Very Dense Area and the others will be in a non-dense area. So for those reasons, it's a split of what we have to do in the two areas. First, strategically it's very important on the Very Dense Area, because it's where we absorb major risk of saturation. And then, you have the coverage in the non-dense area, which is planned with some of politic engagement that we have had in the past on the fact that we need to cover small cities, roads and all those kind of stuff. Now, about how we will do that? Well, we will be very pragmatic as we do all the time. To do that, on the loan approach and to do that on the building CapEx approach, we are thinking of it case-by-case, as we did in the past on a regular basis okay?
Operator: Thank you. The next question comes from the line of Thomas Coudry from Bryan Garnier. Please go ahead.
Thomas Coudry: Yes. Good morning everybody. Thank you for taking my questions. I have two other on the network concerns. First thanks again indeed for the presentation on your 5G rollout plan and I have a question on the frequencies here. Does what you explain mean that you will use the dynamic spectrum sharing technologies? Because these technologies put forward by Ericsson in particular -- or Nokia are supposed to be rather disappointing in terms of quality? So is this what you intend to do? And more specifically, you said that you would reuse the 2100 band for 5G. Why not using 700 or 800-megahertz band, since they are better for coverage indoor? Is this because you don't have enough 700 megahertz? Is it because 800 megahertz will not be available enough on the 5G smartphones? I would be interested to have your view on that. And the other question I have still on networks is regarding network sharing. It's becoming let's say more and more obvious that we could expect something between Iliad and Orange in the same way that what you did in RAN sharing with SFR. This type of agreement enables to let's say to accelerate and improve coverage in the less dense areas as you did again yourself with SFR. Do you fear that such an agreement between Iliad and Orange could let's say help Iliad reduce the gap in terms of coverage and network quality in this area? And would you have any specific let's say regulatory-type of concern versus such an agreement? Thank you very much.
Richard Viel: Okay. I think inside your question, you have three questions. So I will try to answer to all of them. First about the DSS. DSS is a technology normally to optimize in fact the sharing of differences between 4G and 5G. So the DSS on the principle is an interesting approach. There is no reason why with telecom is not looking at it. What we've seen at the beginning is depending on the suppliers, the quality of the DSS is different between the suppliers. And the second point is when you do that, you take a part of your bandwidth which is declining. I mean, if you have 100 megahertz frequencies, when you do the DSS, you lost 10% to 15% depending on the suppliers. So that's the first reason why we are very careful about that. So second point is about why not to use the 700, 800, 2100 and the others. First, to have a good 5G, you need to have an excellent port. And if you try to substitute some frequencies which is dedicated to 4G now to replace that with 5G, you create a disaster on your 4G customer and you're impacting strongly the quality of your network. That's the reason why we didn't decide to use the 700. Probably the 700 can do a sure fire approach to say to the customer "Blah blah I have the 5G here, but it will not be a good one. And you will destroy your 4G and is -- from our experts it's not a good path." And as with telecom has always perceived as good engineers able to have a good optimization of the network, we consider it was a wrong approach. And we decide to go to the 2100 for sure as I expressed to you because that 2100 is more an onset. But it's a good -- I would say it's a good medium between small spectrum that anyone has on the low-band frequencies such as 700 and 800 that today we dedicate to the 4G to have the best quality of the 4G and the very high frequency 3.5, which have some indoor issues. And the reason why we decide to go just in the middle with the 2100 and we have a lot of experience of that. Don't forget that we did it with the 4G with the 1800. So with this experience of the 1800, we know that the 2100 is a good frequencies to do it. That's the reason why we decide that. Is it clear?
Thomas Coudry: Very clear.
Richard Viel: It's a sharing network. And about the sharing network. Well, I don't know how to make – you can make sharing networks. It depends of your technology. You need to move your antennas to the other ones. I don't know how they will do that. I don't know the kind of agreement they can have. To be honest with you, it takes three years to put telecom to make it happen with SFR, and I'm not so sure it will be either in the other case. So I have no idea. Whether it be for 4G, 5G, 3G whatever, I don't know. So for me, I'm waiting what could happen. What could happen. When we start to do some savings you're impacting for sure cash because you need to do a work before.
Thomas Coudry: Thank you very much. Yes, very clear. Thanks.
Operator: Thank you. The next question comes from the line of Mathieu Robilliard from Barclays. Please go ahead.
Mathieu Robilliard: Yes. Good morning and thank you. First I had a question on the real estate. I think you mentioned in the presentation that you had some good contribution from B2B contracts. I don't know if you can quantify that. And more importantly, when we look ahead, are there big projects – yes, big projects that could materialize in the coming quarters? I'm not sure if SDAIF as in the end finalized. So that was the first question. Second question on the telecom side. I was curious about the breakdown on the non-service revenues, which recovered quite nicely in Q3. I think in Q2 there was a positive contribution from Asterix. My understanding is that that's not the case anymore in Q3. But maybe if you could give us a little bit of a breakdown what is handsets, what is build-to-suit? And if there's any material impact on margin, I mean by material I mean out of the normal? And then thirdly, on the FTTH. So you upgraded the number of homes you want to cover. Can you remind us on the key areas? Are you still planning to do it essentially through wholesale, or are you considering to be more engaged with co-financing for example either through Asterix or another venture? Thank you very much.
Christian Lecoq: So I will answer to – your good questions about telecommunication. I think your first question was about what we call the other revenues. So the difference between the total revenues and the service revenues, you know we have three kind of items in other revenues. First, this is the handset revenues have been impacting during the first lockdown in Q2. We will see what it will be now. Of course, our shops are open now but the traffic is at a lower level than last year. So we will have some little effect in Q4. The second thing is the construction revenue. We had higher revenue in Q2 mainly due to Saint-Malo because we grew Saint-Malo in Q2. And at this time we're able to sell to Saint-Malo project what we have built during the last year in advance to the closing. And then you have some, I would say a mix of other revenues. For example, share – maybe network sharing in white area we are with other operators. We have FTTH revenue, due to customer link, so many with Orange and so on. And what you have to know is that these revenues these other revenues have no impact – or very little impact on EBITDA. So we have no margin on all this revenue except for the handset because we have some subsidy and the subsidy is accounting for service revenues.
Richard Viel: Okay. To the little I had about fiber and all the aspects of the fiber that you expressed, as you know we said that the fiber will accelerate. As the fiber is accelerating, we said before that in 2022, we will have a 22-million access play and you need to understand now that we're planning to have 27 million access play. So that means that in fact due to the acceleration of this market, we see more and more plugs on households available on the market and we want to be everywhere. So, we are accelerating these connections to be in line with the market trends. So due to that, for sure, we will have a pragmatic approach between wholesale and buy or whatever. But you know that the pragmatic unique to have all the time and I repeat that at each meeting, this will depend on your market share you have locally. And in the rural area, it's not where Bouygues Telecom has the biggest market share. So we will probably use the wholesale. But outside of that, you need to know that for any customer connections, you have CapEx expenses concerning box, you have expenses concerning installation, all these kind of things. So that will impact definitely outside of the wholesale some CapEx whatever. Okay?
Mathieu Robilliard: Very clear. Thank you.
Operator: Thank you. The next question comes from the line of...
Pascal Grange: Sorry, sorry.
Operator: Apologies. Please go ahead.
Pascal Grange: The questions related Bouygues Immobilier -- in fact, we have to consider that in terms of the BtoB business we have signed a three commercial projects during Q3 in Paris, Lyon and Toulouse but this was not major contracts. We have signed 1st of October the project we have in [Indiscernible], but we do not expect any other BtoB project for this year.
Mathieu Robilliard: Thank you very much.
Operator: Thank you. The next question comes from the line of Giovanni Montalti from UBS. Please go ahead.
Giovanni Montalti: Hello. Good morning. Thank you. Sorry, just a quick follow-up on the previous question about the fiber rollout. So when I look at the September 2020 numbers, can you please confirm, what's the mix there? So, when I see this €4.8 million for Very Dense Areas, I guess this is a mix of something that you have rolled out directly and CityFast. But I don't know if there is any ranking there from your rollout so far, if you can help us and same rationale for the €9.2 million and the €1.8 million please. Thank you.
Christian Lecoq: So about the fiber rollout just to remind you, you have 6.4 million premises in Very Dense Area, half of them are made with CityFast and the other half was made with SFR many in the past. And then you have the medium dense, around 10 million premises with Orange...
Giovanni Montalti: Sorry to interrupt. Sorry to interrupt, but just to understand. So you say 6.5 million in Very Dense. But here you have indicated 4.8 million, so -- and you were saying that 6.5 million after it’s done with CityFast. So, why we have...
Christian Lecoq: SFR has been done, I think a few years ago. And now the difference between 4.8 million and 3.4 million is due to CityFast. And we are normally…
Giovanni Montalti: Sorry. And the difference between the 6.5 million over the total Very Dense and the 4.8 million?
Christian Lecoq: That will be made with CityFast.
Giovanni Montalti: Right.
Christian Lecoq: So in the Very Dense will be made in the future with CityFast. 
Giovanni Montalti: So everything that you mentioned will be made with CityFast and the existing 4.8 million is either with CityFast or with SFR?
Richard Viel: Yes.
Christian Lecoq: And a little bit Orange. 
Giovanni Montalti: Right. But of this 4.8 million, how much is through CityFast and how much is basically renting with all Orange.
Richard Viel: To be -- if I'm taking the example of 6.5 million, you have 3 million with SFR while already 1.8 million with CityFast will go into 3 million and then we go plus 0.5 million with Orange and you have the 6.5 million. Is it clear?
Giovanni Montalti: Yes. No. But I mean, I guess here the question is -- just trying to understand what is your business model moving into fiber? And what is your value chain which is -- what are the costs associated with fiber connections? Because I mean you are taking a pretty as you say -- I mean pragmatic approach, but you have a mix of different strategies, right? I mean I understand there is some very limited portion that has been done directly by yourself in the dense areas. There's lots of renting that you plan to do also in the key areas and there is something that is off balance sheet. I would just like to understand what are the let's say costs you incur on average in the different areas. Is it sensible to assume that in any case you're going to pay in the vast majority of the areas, a wholesale fee comparable to the one asset that's now indicated as a -- as in -- as a let's say cap to SFR? Is this a proxy we could take for you migrating customers to fiber on average in the entire country, or should we have let's say a more detailed approach? Thank you.
Richard Viel: Well, first of all about the migration of the market, you need to realize if you're looking at SFR around – no, we know the numbers of pre [ph] Orange and Bouygues Telecom. As a trend today, SFR has 38% of their customer base, which is already fiber; Orange is 75%; and Bouygues Telecom is 34%. So we are in the same category. There is no one accelerating more than the other. It's a trend of the market so that's first point. Second point is the margin that you speak about while the fiber is interesting, the revenue of the fiber will be higher than the revenue of the DSL. Does it cost money to migrate the DSL to fiber? Yes and it will depends on the areas. But if you're looking at I would say the non-dense area it's mainly loan efforts [ph] to everyone because -- except Orange, which has a very big market share all the others are small ones, because we have capillarity and all those kind of things. So the price is roughly the same as everyone. If you're looking at now the conditions that we have in the Medium Area, it's much more better due to SFR position now, which is back to Orange level at quite good conditions as mean it's a little bit higher than DSL but not so far. And then you have the very dense area, on which we have a direct integration with our partners SFR on its own. And if you're looking at with CityFast, it's a very good pricing approach. So we have no problem there. Is it clear?
Christian Lecoq: And just one point, just I would like to remind you that for CityFast, we don't pay a price per subscriber. This is a fixed price and so it -- do not depend to our market share.
Giovanni Montalti: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Jerry Dellis from Jefferies. Please go ahead.
Jerry Dellis: Yes, good morning. Thank you for taking my questions. I had a question on telecom CapEx please. I'd be interested in your guidance on the level of gross CapEx going forward, and how that will vary based on your decision as to whether to build the new 5G sites or to outsource that build? Following on from that I'd be interested in the level of asset disposal proceeds that we might anticipate going forward as well? Second question has to do with the non-standalone 5G. Be interested in your thoughts on the performance of non-standalone 5G relative to your legacy 4G network. And whether you expect Orange in particular, which is not encumbered by legacy Huawei equipment to also deploy 5G in the non-standalone form? And then finally, I'd be interested in the technical solution that you are applying in this non-standalone rollout. Are you essentially putting non-Huawei 5G RAN on top of a legacy Huawei 4G RAN? Thank you.
Christian Lecoq: So about -- I will answer to your question about CapEx and then Richard will speak about your other points. So about CapEx. So to date too early to give you any guidance for 2021, but I will give you some more information. In 2021, we will have to take two decisions. The first one is the speed of rollout of our 4G network. And the second one is to -- the FTTH acceleration either in the key [ph] area and also to, I will say to build the last meters to link our customers to the FTTH network. These two things could impact our CapEx in 2021, it will depend on the speed of that. So to date it's too early to give you any indication for that. At the same time, I would like to remind you that we will of course continue to roll out new sites to cover all areas. We'll continue to add 4G capacity and we will also add to integrate the IT and we already said to you that it could cost us €140 million of capacities in our radio network to do that next year. We will also start the swap of our Huawei equipment. The government asked us to change -- to move Huawei out of 3000 sites before 2028. So we'll begin to do that and it could cost us around €40 million next year to do that. Well -- so very difficult to answer to you, but I gave you I think the main point about that. Okay. So about disposals, I will just give you -- for this year our main disposal was with the Asterix project. We sold one transit of 5% to SDAIF. We have -- we had also some disposals of sites -- telecommunication sites to Cellnex. So however our obstacles now total is now €222 million. It should be a bit higher than that at the end of the year, but no big difference. For 2021 we will sell our existing [Indiscernible] to Cellnex according to the option agreement we have signed with them I think it was two years ago and this will lead to around €200 million of disposal for 2021. And Richard will answer to your other question. 
Richard Viel: Okay. Concerning the good understanding about the good telecom architecture network, you need to realize that in fact today with telecom have a core network which is mainly on different technology components which are on Cisco, Ericsson and Nokia. This is the core elements of the core network. And then you have the radio box on which Bouygues Telecom have historically a mix of Ericsson and Huawei. It's now a decision from the government by the fact that we have only at least some cities in dense area on which we have to change the Huawei, I would say radio approach with an Ericsson or a Nokia radio approach. So it's planning, it will take eight years and it will -- it's only 3000 sites on top of the 28,000 site we speak about. So it's a part of that. It's a work we've already done in the past. We did that for Nokia, we did that for Crissier, when we did it. So we know how to do it. It takes time and we need to do that carefully to have no impact on your customer. If you're looking at between stand-alone and non-stand-alone. So it will be a stand-alone architecture base probably on Ericsson because it's where we have our core network. Radio to have a nonstand-alone which is already in Ericsson. But I would say, the main difference of that is that, if you have a stand-alone architecture it takes time because you have to deploy data centers into your network to be able to speed up two things: the latency and then to have acceleration of capacity to support machine-to-machine technology. So it's a question of software release. It's only that and the way you're managing the radio because you have some other features to speed up the capacity of the 5G network using a feature score informing or when you dedicate to somebody a part of your frequencies in a short time to accelerate the feeling of the customer to have higher speed. So all those things take time. That's the reason why we speak about 2023. So technology will be able probably at -- during 2021, but it will take between 12 to 18 months to make it work. That's the reason why we speak about 2023. So don't forget it's not an issue about Huawei. And I could tell you stand-alone and non-standalone it will be a core network based on Ericsson and with some elements of Nokia. But it has nothing to see with Huawei. Huawei was on the radio on the antennas. Is it clear? 
Giovanni Montalti: Yes, that is clear. Thank you. Actually, if I could just follow-up on one point, which is that currently consensus is modeling telecom CapEx if we exclude the ERT of about €1.0 billion net for 2021 and €1.1 billion in 2022 and 2023. Are those levels of net CapEx for Bouygues Telecom likely to be sufficient in your view?
Richard Viel: To be honest with you, it's a little bit early now because we doesn't know exactly -- two elements. We doesn't know exactly about the speed of the 5G. We don't know exactly how stakeholders would accept the fact that we deploy the 5G. You know there is some bashing in France about the 5G there's a lot of cities. So we don't know it react. The perception of the customer we don't know today we'll be looking at it. So to be honest with you unfortunately it's early. I think you need to wait a quarter to have better understanding about what will be our plans in the future. But for that we never know. We'll speak to you about the acceleration of the FTTH. This is sure we know and we know how it works. On the 5G we don't know yet today to be honest.
Giovanni Montalti: Thank you very much.
Richard Viel: Too early. We haven't launched it, you know. It's not launched. 
Giovanni Montalti: Understood. Thank you very much indeed.
Operator: Thank you. Thank next question comes from the line of Eric Lemarié from Bryan Garnier. Please go ahead. 
Eric Lemarié: Yes. Thank you. Good morning. Thanks for taking my question. I've got four, but very small one please. First one relating to Colas. Should we expect for Colas further non-current charges due to either reorganization or Dunkirk going forward? And particularly, in 2021? Still on Colas and this reorganization what kind of impact should we expect from this organization on current operating margin next year, for instance? Third question on Bouygues Energies & Services. Could you be more specific regarding the level of current operating margin generated by Bouygues Energies & Services in Q3 please? And the last question regarding this Dijon Smart City project, you've been participating in could you give us any sense of the revenue generated so far by this project? Thank you. 
Christian Lecoq: Okay. Starting with your last question concerning Dijon, the impact on revenue is very small. We are sharing that contract with several companies. So it's not significant as the Bouygues energy level. Secondly, what is the margin in Bouygues Energies & Services? In fact, we are -- during the third quarter, I think that the margin in the range of 3.5%, which is material in terms of improvement which during the past level of profitability with Energies & Services. And then the question was the non-current charges as far as Colas is concerned. No we don't have any plan in order to increase the -- to have new non-current operating charges in 2021. But it's fairly normal because if -- should we have any project in that respect we should have the -- we should have done that and put that in our accounts already. But the thing we won't have some non-current charges next year. We will see. I know it will depend country by country what is the level of activity and what we need to do in order to enhance profitability.
Eric Lemarié: Yes, I understand that. But Dunkirk, for instance, would it be over next year, or do you expect further charges from Dunkirk? 
Christian Lecoq: Sorry, not yet into that. It's a long-term process. You know that we are developing how to revamp the site -- to the polluted sites. As we are discovering new things we are putting charge in that respect. But it will be in the -- we will see. We don't have any -- we will see. 
Eric Lemarié: And regarding this reorganization on Colas do you expect positive impact on margin due to that?
Christian Lecoq : The first thing with -- it will mitigate part of the lack of revenue, we will have during the first quarter -- in the first half of the year. Obviously, on the medium and long-term basis, it's one of the way, we have identified in order to advance the margins of Colas. 
Eric Lemarié: And could you share with us the impact I don't know in term of basis point we should expect from that? 
Christian Lecoq : No, no. We are in the middle of the story. It's also too early to provide. 
Eric Lemarié: All right. Fair enough. Thank you.
Operator: Thank you. The last question coming from the audio line, that comes from the line of Alexandre Roncier from Exane. Please go ahead.
Alexandre Roncier : Hello and thank you for taking my question. I've got just 2 if I may. First just to come back on the Huawei switch. I saw I think it was last week or this week that you had some positive comments from the [Indiscernible] public to actually help you probably get compensation from the government. So I was just wondering if you had any news or any color on that.  And then secondly perhaps regarding Alstom and broadly your dividend. Given that the special was cancelled earlier this year, is the recent capital and equity raise from Alstom now ended? Are you thinking differently about shareholder remuneration heading into next year? Thank you.
Richard Viel: Okay. About, I would say the position of the Conseil [ph] about our request concerning the non-equity on this project concerning 5G, Huawei and so on. Well I would say we won the battle, but we don't want the war already. It will take two other stages. Normally it will go to the Conseil Constitutionnel. So it will take some weeks or months at least. Now that they recognize that there is a difference between two actors and the others. So we're expecting some remedies and some compensations. We were looking at -- if the -- should Conseil Constitutionnel is agree on that point then the government will have to negotiate with us. So I will say it's good news. It has been a normalcy I believe. We were thinking of it. And it will take some months, but we expect to have some remedies, yes. 
Pascal Grange: As far as the stock is concerned, our -- we won't tell you precisely what we'll do with the proceed in the future. But we have already repeated the same things. Our priorities are clear. We aim to develop our existing businesses and we want to maintain a strong venture structure and then we will see what we could do in terms of return to shareholders. We intended earlier this year to have a specific return in that respect. But we see when we have -- we will see in the next future what we'll do. 
Alexandre Roncier : Okay. That’s very clear. Thank you very much.
Pascal Grange: Not already decided. 
Alexandre Roncier : Perfect. Thank you.
Operator: I'll now hand over for the webcast question. We have a webcast question coming from Akhil Dattani. Please go ahead.
Pascal Grange: What is the question? 
Karine Gruson: So what are the drivers behind the record Q3 Colas EBIT margin of 10%? Are there any one-offs in there? There remains speculation around your potential M&A interest across the construction and energy segments. Can you update us, how you think, about your potential acquisition interests across these areas? And if you have any specific geographic focuses? And there's a third question always from Akhil Dattani, can you discuss the latest views on government's infrastructure stimulus spend, you anticipate in Europe and the U.S. as well as the extent to which you expect to be able to take advantage of this opportunity? Thank you.
Pascal Grange: Yeah. As far as M&A is concerned, you know that we have two priorities within our construction activities. The first one is to develop energy and services I spoke earlier about this issue. We will intend to enhance our activity in that respect. And we intend to develop our Colas activities. And we have some priorities in terms of geography. I would say that, we would like to develop ourselves in Northern Europe, in Germany and in North America. That's the main priorities, we have in that respect. I mentioned in different time, as far as the margin is concerned within Colas for the Q3, I mentioned that several times. We have a very specific Q3 this year which is linked to the resumption of activity at the beginning of summer and then a catch-up of activity, which is quite important within Colas during the Q3. As you know, they have a lot of fixed costs. So when you have extra activity you enhance considerably the margin. And secondly, they had some compensation. I mentioned that earlier. And then, they have implemented some action plans in order to make savings in their organization. And the cumulative effects of these three types of facts induce the very high level of profitability during the third quarter. And your last question was related to stimulus plans in France and elsewhere. Let's say, that we have some plans which are announced in Europe, the France and [Indiscernible]. And we have also important plans in the U.S. And we don't know precisely how it will be implemented due to the election, but we are sure that something will be done in that respect. So we are confident that these stimulus plans will enhance the activity of Colas and good construction in the future, as I told you, not during the first half of 2021, probably during the second part of the year.
Operator: Thank you. I'll hand now over to the speakers for any concluding remarks.
Pascal Grange: Okay. Thank you for joining us today. We will be announcing our full year 2020 sales and earnings on, 18th of February 2021. Should you have any question, please contact our Investor Relations team. Their contact information is on the press release on our website. Thank you.
Operator: Ladies and gentlemen, this concludes Bouygues' nine Months 2020 Results Conference Call. Thank you all for your participation. You may now disconnect.